Operator: Good day and welcome to this RadNet Incorporated Fourth Quarter and Full Year 2016 Financial Results Conference Call. Today's conference is being recorded. And at this time, I'd like to turn the conference over to Mr. Mark Stolper, Executive Vice President and Chief Financial Officer of RadNet. Please go ahead, sir.
Mark Stolper: Thank you. Good morning, ladies and gentlemen and thank you for joining Dr. Howard Berger and me today to discuss RadNet's fourth quarter and full year 2016 financial results. Before we begin today, we'd like to remind everyone of the Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. This presentation contains forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Specifically, statements concerning anticipated future financial and operating performance, RadNet's ability to continue to grow the business by generating patient referrals and contracts with radiology practices, recruiting and retaining technologists, receiving third-party reimbursement for diagnostic imaging services, successfully integrating acquired operations, generating revenue and adjusted EBITDA for the acquired operations as estimated among others, are forward-looking statements within the meaning of the Safe Harbor. Forward-looking statements are based upon management's current preliminary expectations and are subject to risks and uncertainties, which may cause RadNet's actual results to differ materially from the statements contained herein. These risks and uncertainties include those risks set forth in RadNet's reports filed with the SEC from time-to-time, including RadNet's Annual Report on Form 10-K for the year ended December 31, 2016 to be filed shortly. Undue reliance should not be placed on forward-looking statements, especially guidance on future financial performance, which speaks only as of the date it is made. RadNet undertakes no obligation to update publicly any forward-looking statements to reflect new information, events or circumstances after the date they were made or to reflect the occurrence of unanticipated events. And with that I'd like to turn the call over to Dr. Berger.
Howard Berger: Thank you, Mark. Good morning everyone and thank you for joining us today. On today's call Mark and I plan to provide you with highlights from our fourth quarter and full year 2016 results, give you more insight into the factors which affected this performance and discuss our future strategy. After our prepared remarks we will open the call to your questions. I'd like to thank all of you for your interest in our Company and for dedicating a portion of your day to participate in our conference call this morning. When I look back to 2016 which was a year of operational refinement, I'm very proud of our numerous accomplishments. We completed no material acquisition during the year instead we focused on making our business stronger and one that is stable and scalable platform to support future growth and operational improvement. While discussing accomplishments, I would like to talk about the outstanding financial results that were driven by our operational focus. During 2016 we drew both revenue and EBITDA 9.3%, aggregate volumes increased by 8.3%. We produced over $35 million of free cash, after capital expenditures, and cash interest expense. We ended the year with over 20 million in our balance sheet and reduced net debt by the same amount. We reduced our debt to EBITDA leverage ratio by over half ton of leverage of one year driven from 5.3 times debt to EBITDA at the end of 2015 the rest in 4.8 times debt to EBITDA at the end of 2016. The fourth quarter's results was similarly strong. Revenue grew 4.3%, EBITDA increased 7.2% and net income increased $2.8 million over last year's same quarter. Aggregate volumes increased especially in the high margin modality MRI CT, and PET/CT which increased 2.6%, 3.1% and 4.0% respectively. Same center revenues increased in the fourth quarter by 2.8. Although I'm pleased with these results, I'm more proud of our 2016 operational accomplishments. Some of these accomplishments drove our improved financial results while others position our Company for long term debt and stability features. Here are some of the key operating highlights for 2016. First in 2016 we completed our information technology initiatives to migrating entire company to our proprietary front end operating system, and to a building platform provided by an outside vendor. We began the internal development of the eRAD assistance in 2009 when we decided we needed to control our own IT infrastructure. At that time we recognized that our growing size and complexity demanded features and functionality from our IT system that our outside vendors were either unable or unwilling to support or customize on our behalf. The internal role in our eRAD provides us with more uniform data, a common trading platform and functionality that gives us operating and staffing efficiencies and utilizes a common interface with our other IT systems like transcription, billing and data warehouse. Our implementation of the imaging software system creates efficiencies in our billing operation and the ability to have a common interface amongst all regions to the eRAD our claims processor and certain performance dashboard. The exercise to create a common IT platform among all of our operations including eRAD and management has been timing consuming expenses and contracts. Not only will we benefit from these initiatives as we continue to scale it also has given us support expertise and experience to be able to more efficiently integrate new operations that we find to build or acquire in the future. Also in 2016, we successfully created our first West Coast state health system partnership. Right in the first quarter of last year, we signed a joint venture agreement with Dignity Health, Glendale Memorial Hospital and Glendale California. The joint venture agreement consist of two imaging centers, the first center focuses on women's imaging and was previously owned and operated by Dignity Health. The second center is the multi-modality facility initially constructed by RadNet. This facility contains advance imaging, MRI, CT as well as routine fluoroscopic, x-ray and ultrasound. While the joint venture became operational in June, RadNet and Dignity continue to explore further opportunities which could include RadNet's Breastlink rest of these managed offering and other oncologic capabilities. Health systems joint ventures have been a significant part of our Eastern operation where we currently have 12 joint ventures in Maryland and in New Jersey. The lessons we've learned and the experienced we’ve gained from these East Coast relationships furthered our ability to successfully establish and operate a Dignity Health joint venture and will help with future partnerships in the West which we hope to be able to discuss in the near future. Additionally, throughout 2016, we began assembling the components and framework to bring our Breastlink best disease management offering to our regional operations in Montgomery County, Maryland and Manhattan. Currently Breastlink operates five comprehensive breast cancer diagnostics and treatment facilities in Southern California. This offering provides a full continuum of care to our patient and our medical outcomes have been extraordinary. We are demonstrating California that assembling world class breast imagers, medical oncologists and surgeons in the same medical practice on an outpatient basis can materially improve the experience and outcomes of patients. All this can occur while saving significant costs to the medical delivery system by eliminating or minimizing hospitalization and inpatient care. The Breastlink offering is highly complementary to our imaging business and drives procedural volume both because our women’s health imaging business drives Breastlink patient volume and because patients with breast cancer are high utilizes of various advance imaging modalities. Much of our operational focus on the East Coast during 2016 and failed completely induration of our New York acquired operation in 2015 most notably the Diagnostic Imaging Group and Lenox Hill New York Radiology Partners operations. During the year, we expanded considerable time and resources to integrate these businesses into our IT billing, accounting and operational infrastructure. Integration efforts included the rebranding of selected centers, strategic relocation of some centers, the augmentation and changing of center level and regional personnel and the consolidation of certain facilities. These efforts have mostly complete continue to take time and require financial resources and investment. Because of the major commitment we've made to these operations in 2016, I believe they are positioned to show marked improvement in 2017 and beyond. 2016 was also important year with respect to capital structure. On July 1, we completed refinancing transaction of our then, $485 million first lean term loan and $117.5 million revolving credit facility. We effectively lengthened the maturities of these facilities to July of 2023 with respect to the term loan in July of 2021 with respect to revolve. The transaction increases our financial flexibility allowing us to grow our business with added capacity to create joint ventures and other attractive business structure. Furthermore, the refinancing transaction extended the maturities of the loan and it eliminates our need from having to deal with any near term maturities. Additionally subsequent year and 2016, we completed a successful replacing amendment for the same credit facility. The amendment reduced our interest rate by 1.5% which amounts to approximately $2.4 million of annual interest expense savings. We will use this additional cash flow to further deleverage our balance sheet or reinvest in our business for future expansion. Finally our activities in 2016 entailed executing and operational initiative. The list of these at length for example we structured our previously decentralized appointment scheduling department on the West Coast into centralized regional call centers. We successfully renegotiated certain vendor contracts to save money on various medical supplies and consumables. We concluded certain payor renegotiations in several of our East Coast markets which resulted an increase procedural pricing and revenue. On the West Coast our discussions with certain capital medical groups have resulted in higher per member per month rates for targeted patient populations for which we are contracted under full risk arrangements. During 2016 we redesigned certain of equipment repairs and maintenance contracts for specific modalities to improve equipment uptime, reduce cost and simplify logistic. Finally, we substantially completed the all digital upgrade of our installed computed radiography x-ray system. This program was designed to create more efficiency at our centers and to avoid certain financial penalties that would have otherwise been placed upon it in the future if we would continue to utilize the older computed radiography technology. At this time, I’d like to turn call back over to Mark to discuss some of the highlights of our fourth quarter 2016 performance when he finishes I will make some closing remarks.
Mark Stolper: Thank you, Howard. I'm now going to briefly review our fourth quarter and full year 2016 performance and attempt to highlight what I believe to be some material items. I will also give some further explanation of certain items in our financial statements, as well as provide some insights and to some of the metrics that drove our fourth quarter and full year 2016 performance. I will also provide 2017 financial guidance levels which were released in this morning’s financial press release. In my discussion I will use the term adjusted EBITDA, which is a non-GAAP financial measure. The company defines adjusted EBITDA as earnings before interest, taxes, depreciation and amortization and excludes losses or gains on the disposal of equipment other income or loss, loss on debt extinguishments, and non-cash equity compensation. Adjusted EBITDA includes earnings in unconsolidated operations and subtracts allocations of earnings to non-controlling interest in subsidiaries and is adjusted for non-cash or extraordinary and one-time events taking place during the period. A full quantitative reconciliation of adjusted EBITDA to net income or a loss attributable to RadNet Inc. common shareholders is included in our earnings release. With that said, I'd now like to review our fourth quarter and full year 2016 results. For the three months ended December 31, 2016 RadNet reported revenue and adjusted EBITDA of $224.9 million and $34.9 million, respectively. Revenue increased $9.2 million or 4.3% over the prior year same quarter and adjusted EBITDA increased $2.3 million or 7.2% over the prior year same quarter. The vast majority of the revenue and EBITDA increase in the quarter is the result of increases in procedural volumes mostly same center increases and the effect of several payor contract increases we received in the latter half of 2017. For the fourth quarter of 2016, as compared with the prior year's fourth quarter, aggregate MRI volume increased 2.6%, CT volume increased 3.1% and PET/CT volume increased 4.0%. Overall volume, taking into account routine imaging exams inclusive of X-ray, ultrasound, mammography and other exams increased 0.6% over the prior year’s fourth quarter. In the fourth quarter of 2016, we've performed 1,519,272 total procedures. The procedures were consistent with our multi-modality approach whereby 77.8% of all the work we did by volume was from routine imaging. Our procedures in the fourth quarter of 2016 were as follows; 190,594 MRIs as compared with 185,742 MRIs in the fourth quarter of 2015. 140,910 CTs as compared with 136,696 CTs in the fourth quarter of 2015. 6,538 PET/CTs as compared with 6,285 PET/CTs in the fourth quarter of 2015 and 1,181,230 routine imaging exams as compared with 1,182,039 exams of routine imaging in the fourth quarter of 2015. Net income for the fourth quarter of 2016 was $3.7 million or $0.08 per share compared to net income of 881,000 or $0.02 per share reported in the three months period ended December 31, 2015. These numbers are based upon weighted average number of shares outstanding of 46.4 million shares and 46.5 million shares for the period in 2016 and 2015 respectively. Affecting net income in the fourth quarter of 2016 were certain non-cash expenses and non-recurring items including the following; $908,000 of non-cash employee stock compensation expense resulting from divesting of certain options in restricted stock; $349,000 of severance paid in connection with headcount reductions related to cost savings initiatives; $392,000 loss on the disposal of certain capital equipment, and $801,000 of amortization of write-off of deferred financing costs and loan discounts related to our existing credit facilities. With regards to some specific income statement accounts, overall GAAP interest expense for the fourth quarter of 2016 was $10.6 million. This compares with GAAP interest expense in the fourth quarter of 2015 of $10.7 million. For the fourth quarter of 2016 bad debt expense was 5.5% as our service fee revenue compared with 5.4% for the fourth quarter 2015. We are pleased with the flat net debt percentage as provided acquired to collect more and more dollars from patients directly in the form of co-payments and co-insurance. The controls and procedures we put in place at the center has become more effective in collecting money from patients or enabling us to keep bad debt stable relative to our service fee revenue. For the full year of 2016 the Company reported revenue of $884.5 million, adjusted EBITDA of $133 million and net income of $7.2 million. Revenue increased $74.9 million or 9.3% and adjusted EBITDA increased $11.4 million or 9.3% over 2015. While a portion of this growth was related to same center performance, we were also benefitted by having a full year work of the contribution of Diagnostic Imaging Group acquisition which we made in October 1, 2015. For the year ended December 31, 2016 as compared to 2015, MRI volume increased 7.8%, CT volume increased 7.9% and PET/CT volume increased 7.9%. Overall volume taking into account routine imaging exams inclusive of x-ray, ultrasound, mammography and other exams, increased 8.3% for the 12 months of 2016 over 2015. In 2016, we performed 6,109,622 total procedures. The procedures were consistent with our multi-modality approach whereby 77.9% of all the work we did by volume was from routine imaging. Our procedures in 2016 were as follows; please note that starting in the third quarter of 2015 and going forward we standardized our procedure volume categorization among regions according to our internal KBI or Key Business Indicator's dashboard. Total volumes I'll be quoting for last year's comparison period will be slightly different than those I reported at this time last year. Because the restated procedure volumes for last year's period are calculated under the same methodology as the current period, the comparisons between the two periods are accurate as are the conclusions that can be drawn. Here are the volume numbers, 757,668 MRIs as compared to 703,091 MRIs in 2015. 569,247 CTs as compared with 527,629 CTs in 2015. 26,227 PET/CTs as compared with 24,312 PET/CTs in 2015 and 4,756,480 routine imaging exams as compared with 4,383,947 of all these exams in 2015. Net income for 2016 was $0.15 per diluted share compared to net income of $0.17 per diluted share in 2015 based upon weighted average number of diluted shares outstanding of 46.7 million shares and 45.2 million shares in 2016 and 2015 respectively. Affecting net income in 2016 were certain non-cash expenses and non-recurring items including the following; $5.8 million of non-cash employees stock compensation expense related from investing certain options and restricted stock. $2.9 million of severance paid in connection with headcount reductions related to cost savings initiatives primarily in New York. $767,000 loss on the disposable of certain capital equipment, $5 million gain on the return of common stock related to one our New York acquisitions, and $5 million of amortization and write-off of differed financing fees and discounts on issuance of debt related to our existing credit facilities and refinancing transactions. With regards to some specific income statement accounts, overall GAAP interest expense in 2016 was $43.5 million. Adjusting for the non-cash impact from items such as amortization and financing fees and accrued interest, cash interest expense was $37.5 million in 2016. This compares with GAAP interest expense in 2015 of $41.7 million and cash paid for interest of $36 million. For 2016 net debt expenses was 5.5% of our service fee revenue compared with an overall blended rate of 4.8% for full year 2015. There was no operational change in the collections before that as increases simply a reclassification we made at the end of the third quarter of 2016 between contractual allowances and discounts and bad debt related to the migration of a new billing system. Without this reclassification our bad debt percentage would have remained flat year-over-year as it did in the fourth quarter. With regards to our balance sheet, as of December 31, 2016 unadjusted for bond and term loan discount we had $634.9 million of net debt which is total debt of our cash balance. As of year-end 2016, we were undrawn on our $117.5 million revolving line of credit and had a cash balance of $20.6 million. As Dr. Berger mentioned earlier, we reduced our debt to EBITDA leverage ratio by over 1.5 churn of leverage in the year from 5.3 times debt to EBITDA at the end of 2015 to less than 4.8 times debt to EBITDA at the end of 2016. At December 31, 2016 our accounts receivable balance was $164.2 million, an increase of 1.4 million from the year end 2015. The increase in accounts receivable is mainly from increased patient volume and revenue accounted by strong collections throughout the year. Our DSO were 61.2 days as of December 31, 2016 lower by 4.7 days when compared with 66 days as of this date one year ago which is mainly due to improved collections occurring after the migration of our operations on to a new billing platform. Throughout 2016 we had total capital expenditures net of asset dispositions and sale of imaging center assets and joint venture interest of $60 million. Approximately $59.3 million were paid foreign cash, approximately $1.3 million was financed with capital leases and we recognized $523,000 in proceeds from the sale of equipment. I will now discuss how RadNet performed relative to revised 2016 guidance level which we released first upon our fourth quarter and full year 2015 results and then as revised upon announcing our second and third quarter 2016 financial results. Our revenue guidance range for total net revenue was $870 million to $910 million our actual results were $884.5 million. For adjusted EBITDA, our guidance range was $130 million to $140 million and our actual results were $133 million. For capital expenditures, our revised guidance range was $55 million to $58 million and our actual results were $60 million. For cash interest expense our guidance range was $37 million to $40 million and our actual results were $37.5 million. And for free cash flow generation, our revised guidance range was $40 million to $50 million and our actual results were $35.6 million. We are pleased to have achieved the guidance ranges for revenue and EBITDA. During the year we spent over $10 million of additional capital expenditures and originally budgeted the vast majority of which was to replace most of our installed base of CR x-ray systems as previously discussed by Dr. Berger. Although these were necessary and beneficial expenditures for RadNet long-term, the additional spending caused that to end the year below our guidance range for free cash flow. At this time, I'd like to review our 2017 fiscal year guidance level which we released this morning in our financial press release. For 2017 our guidance range is as follows; the total net revenue $895 million to $925 million. Adjusted EBITDA $135 million to $145 million, capital expenditures $55 million to $60 million, cash interest expense $35 million to $40 million and for free cash flow generation $40 million to $50 million. The guidance assumes no acquisition and is derived from a true same center model. It is built from a budgeting process that is completed at the center level and takes into account all opportunities and risk based in each center. The low-end of our guidance assumes approximately 1% internal revenue increases while the high end of the range assumes between 4% and 5% top line growth. We are projecting that capital expenditures will remain about flat relative to what we spent in 2016 and we continue to have tight control on our operating expenses. Our cash interest expense guidance reflects the repricing of our senior credit facility partially mitigated by the cost of an interest rate cap we purchased in the fourth quarter of 2016 on three-months LIBOR designed to partially protect the company in a rising interest rate environment. With many reasons to be optimistic about 2017 and hope that many of our prospects enable us to outperform our guidance. With respect to reimbursement, 2017 will have flat Medicare rates. By mid-2017, the vast majority of our integration efforts related to our New York radiology partners and Diagnostic Imaging Group acquisitions will be complete. As Dr. Berger mentioned earlier, we will benefit from launching Breastlink operations in two of our East Coast regions during the second quarter of this year. We also expect additional revenue in 2017 from our continued adoption of 3D breast imaging. And finally we expect to begin operations in 2017 of several new health system joint ventures. I'd now like to turn the call back over to Dr. Berger who'll make some closing remarks.
Howard Berger: Thank you, Mark. Our results in 2016 demonstrate the power of our core operating lines. As we move into 2017 our focus will continue to be on our operational improvement. While we continue to be in the market to evaluate opportunistic acquisitions that further our strategy of regional concentration and multi-modality approach I believe these opportunities in 2016 will be in the form of smaller tuck-in transaction of independent operations. In 2017 where we continue to progress we have made in launching Breastlink in Manhattan and Maryland. We are expanding broadly in several of our existing joint venture relationships and establish joint venture with new partners. We intend to expand our capitalization business in West Coast and to pursue opportunities to begin risk based contracting in our East Coast regions. We remain optimistic about our future and position in the healthcare industry. The healthcare industry continues to consolidate and move towards regulatory outpatient services. Regardless of what happens with ObamaCare and what type of perform new administration will enact, diagnostic imaging will remain a necessary and growing part of the healthcare delivery assistance. Our business such as virtually every specialty - as the population continues to grow and age focused on early detection and accurate diagnostics of disease continues and as medicines [indiscernible] diseases. Diagnostic imaging will continue to be more prevalent and at the fore front of that. Patients and health plans continue to look for lower cost alternatives to the hospitals for outpatient imaging. We are their alternatives and we have shown our willingness and interest in partnering with local hospitals will allow them to participate one sided in the growth of outpatient imaging in their market. I believe we have never been better positioned as a Company than we are today. We remain the largest outpatient provider of imaging services in all of our core markets. We offer broader service lines to payors and patients and most importantly we become better and more efficient in performing virtually every aspects of our business. I look forward to updating you on the many initiatives we have discussed on our call today during our first quarter and financial results call in May. Operator, we are now ready for the question and the answer portion of the call.
Operator: [Operator Instructions] We first move to Brian Tanquilut with Jefferies.
Jason Plagman: Hi guys, this is Jason Plagman on for Brian. First I wanted to appreciate the insight on your outlook for same facility revenue growth in 2017, how should we be thinking about the volume component of that, is it are you assuming basically flat plus or minus 1% or so or what is embedded in your same facility revenue guidance?
Mark Stolper: Yes, good morning Jason. Because we're facing no Medicare cuts in 2017 and we expect overall pricing to be fairly flat from 2017 versus 2016, so we are assuming in our guidance at the low end of the guidance would have about 1% kind of same-center performance with 4% to 5% at the high end. We did receive some pricing increases in our East Coast marketplaces and in our capitation contracts on the West Coast, so we will be benefited slightly by some increases there but we’re assuming flat pricing anyhow.
Jason Plagman: Okay, that's helpful. And in regarding your comments on the capitation, are you able to quantify or give us any magnitude impact of those increases and your update on your efforts and potential timing of agreement on East Coast as well.
Mark Stolper: Sure, so with respect to the West Coast and remember we have about 35 of these arrangements and they all have renewal dates, throughout the year or come to anniversary, year anniversaries throughout 2017 so, what I can tell you is that we’ve received over $2 million worth the price increases on the capitation side with contracts that have already been renegotiated or termed out but we have other - we have more opportunity throughout 2017 as we come to those anniversary date that's on the West Coast. On the East Coast, we’ve talked in the last earnings call and I believe the prior one that we are in discussions with the number of large Medical Groups in particular in one of our markets large East Coast market surrounding full risk based contracting and a capitated arrangements and we’re hoping that within 2017 will be in a positions to announce one of these relationships on the East Coast which will be a water shade event for the company. I mean historically risk based contracting has been a California phenomenon, Florida phenomenon in a couple of other states but if we think if that under the Affordable Care Act that risk based contracting will continue to take hold in other marketplaces and will be on the forefront of the ability to take on that risk with respect to imagining having done it for 20 years on the West Coast. So, we'll be excited when we're in a position to announce something hopefully this year.
Jason Plagman: Great. And last one from me, any objective or target you're trying to reach for debt leverage at the end of this year as well as maybe in 2018?
Mark Stolper: Sure. Well I can give you a reference point, we de-levered the Company by half a churn with respect to our debt to EBITDA ratio between year-end 2015 and year-end 2016. I think that that shows what the Company is capable of on - in a year where we are really focused on operations and had no material acquisitions to speak out. Our guidance assumes a similar type of year where we are focused internally on acquisition - excuse me, on internal operations and on same-center model. So I think if we're sitting here a year from now on our earnings call and we de-leveraged another half a churn, I think that that is reasonable to expect, we'd love to be - it's close to four times EBITDA by the end of the year as possible and it is somewhat dependent upon where we are with respect to our EBITDA guidance for 2017. In terms of 2018, it's a little hard to tell sitting here now but I think we're going to be in the same position where we'd love to - be able to deleverage the business up to half a churn in 2018 as well.
Jason Plagman: Great, thanks.
Operator: We'll next move to Per Ostlund with Craig-Hallum.
Per Ostlund: Thanks, good morning guys. Wanted to start with the question related to the EBITDA guidance, so I appreciate the color on revenue guidance and the thinking there, sort of that 1% to kind of on the high end 5% internal growth. Your EBITDA guidance sort of implies kind of 1.5% to upwards of 9% growth. I guess I'm wondering sort of how you view the gauging factors in light of the benign reimbursement environment that could get you toward the upper end of the EBITDA guide, what are the opportunities on that front?
Mark Stolper: Sure. I mean it's a few things, I mean we have enjoyed up until the quarter in 10 quarters in a row of same center positive volume churn, so we anticipate being able to continue that type of internal growth. During 2017 we'll be expanding some existing joint ventures. We hope to be in a position to announce several new joint ventures throughout the year which will create growth. We are enjoying some growth in our mammography business from the adoption of 3D Breast imaging or to a synthesis which will provide growth in 2017 as well. So, I mean there's a lot of initiatives that we got internally to really drive growth that I think are going to be positive. Also we’ve seen some increasing enrolment on the West Coast within our capitated medical group which we grew our capitated business nicely in 2016 over 2015 and we expect to have growth in capitation over next year we grew at over 9% this year. The prior year we had tremendous growth over 25% in our capitation business. So we see some opportunity there so all those things I think could allow us to hit the middle to high-end of our guidance in 2017.
Howard Berger: One other item in 2017 we will benefit from a full year of increase reimbursement from some of our East Coast operation that were finished towards the middle of the year and which we only got a partial year benefit from 2016.
Per Ostlund: Perfect, thank you all of that color. And actually you touched on one of the other things that I wanted to ask about which is the 3D mammography. Just sort of wondering if we can get kind of an update on your rollout, I know it's been kind of, it’s certainly been seen as an opportunity and something you've been increasingly working toward, and I'm curious perhaps most specifically about the recent bill signed by Governor Cuomo New York that’s a big market for you and with them covering 3D mammography now does that kind of change your rollout plans there or accelerate anything beyond what you were already looking to do this year there?
Howard Berger: Well I think that the rollout or continued rollout of 3D mammography will be less influenced by reimbursements then it might otherwise think. And partially the reason for that is we offered the 3D mammography to all of our patients as a choice if it’s covered already in the health centers that when they have then we accept that and if it isn’t then they are paying a surcharge or an additional co-pay you will for that new technology. So with the adoption by other payors whether it’s in New York or recently United and Handsome and Shield in California have announced coverage of 3D mammography. It will just shift that burden rightfully so away from the patients and to the insurance company. So our plan is to continue this to roll that out remain unaffected by the various adoption of the health plans, primarily because we see it as a growing an essential part of our delivery system and that it is and continues to be proven to be better medicine for the detection of breast cancer. Most of the article that we’re seeing have raised the ability of earlier diagnosed breast cancer which ultimately then becomes a benefit to the health system as a whole by not particular model one of the reason why we’re expanding Breastlink into New York and Maryland markets that we believe these opportunities will help drive the Breastlink model which then ultimately drive more imaging taking contract for us.
Per Ostlund: Okay, that makes sense. One more question if I could you’ve reported 2016 – having been a year without material acquisition and it sounds like by and large unless something presents itself 2017 would be perhaps a little quite on that front as well. And I’m just sort of curious as to sort of how you think about that, was it or these it was last year and then perhaps this year you know more of situation where you were really prioritizing the internal development, prioritizing deleveraging, prioritizing integration of New York Radiology and DIG or what are sort of the factors valuation those sorts of things that may be you led 2016 being a little quieter and maybe 2017 being a little quieter as well? Thanks.
Howard Berger: I think that all the things you mentioned were the fact that determined - we had done some rather substantial acquisitions in 2015 as well as normal number or perhaps a smaller tuck-in. All of those were important in terms of where we want to begin the various market segments do come at a cost of personally I don’t think from a financial and an investment standpoint. But across also in terms of the distraction and diversion of our own internal resources to help standardize the business and platforms that were run. So we felt that it was both a good idea for us to internally focus our efforts to be able to facilitate getting after the platforms and right sizing our business and acquisitions and particularly in the New York market as well as to I think be able to demonstrate to the marketplace that our core business has a very substantial cash flow and opportunity to be a major contributor in the markets that we’re in and produce financial results that we will continue to grow the business and grow it’s margin. So I believe 2017 will represent a similar approach to that where the focus will be perhaps on small tuck-in acquisitions - that we always mind of looking at but also to further move the company into relationships with the important or substantial healthcare systems in our markets which I believe is better positioning us for the long-term changes that are occurring in healthcare both from a delivery standpoint and universal standpoint. Again, I think it was [indiscernible] to demonstrate abilities of our team performing and meet certain guidance and expectation as well as better position us for future growth.
Per Ostlund: Excellent. Thank you for all the color. I appreciate it.
Operator: Next question comes from Alan Weber with Robotti Advisors.
Alan Weber: Good morning. Dr. Berger can you talk about you’ve mentioned you never commented about the New York City’s integration, can you kind of quantify if you look at 2016 and then a full year of 2018 integration what that really means in terms of EBITDA or cash flow?
Howard Berger: Well, we don’t generally report regional level participation in the EBITDA, we look it in the aggregate but I think the efforts that we’ve made to consolidated in that market both from the types of equipment that we have available as well as the number of facilities. We’ll get us towards the goals that we originally desired when we made the investments there. I ultimately think that New York will be if not the largest one of the largest contributors, is the company to overall performance and that in of itself is quite statement given the enormous presence that we have in Maryland and in California. But to get down to specifics at this time is that we cannot what we traditionally feel in terms of giving color. Suffice to say that I think our growth there and now the implementation of Breastlink opportunity will continue to give us the visibility with patients, payors and health systems there that could create a significant opportunity to represent further growth opportunity for the company at 2017 and beyond.
Alan Weber: Okay. And then can you just taking a step back can you just?
Howard Berger: Alan you speak just a little bit [indiscernible], oh I’m sorry.
Alan Weber: Sure, I’m sorry.
Howard Berger: That’s better thanks.
Alan Weber: So taking a step back when you look at this specific market that really you don’t breakout the specific financials of each markets, but since they are different can you just kind of talk as you look out over the next few years kind of when you see some of the positive or even challenges within the major markets you’re in?
Howard Berger: Well I think the challenge is not any different today than they might have been in the past Alan I think, the challenges are that in all of our markets our major competitors are really with the hospital systems that we don’t have relationships with all of them fashion themselves to be in the outpatient imaging business along with the other services that they provide. I think that’s unlikely to change because you can’t dance with everybody in the markets and we have to be careful and who we choose for example in New Jersey where we were fortunate enough to have a joint venture with Barnabas Health system we demonstrated both I think in terms of leverage that we obtained in that market with Barnabas as well as the ability to grow with them independent growth that we reach the table has resulted in substantial improvement in that market that we might not have enjoyed by ourselves. So I think our challenges are to find the right partners to do ventures with and that give us the opportunity to utilize the resources and scale of RadNet along with the system in more and more reimbursement and value based model for population health. So I think our challenge is that to find those payors whether they be insurance companies, self insured, worker’s compensation anybody that sees the need to have a regional strategy that gives them access and high quality both in terms of professional as well as technical capability and that most importantly willing to pay fairly for the kind of services that we offer. So those challenges if you will, will be out there, but I think that they have been opened up in different ways than none of us good have anticipated may be three, four and five years ago with the enormous upheaval that is incurring in healthcare. So I think our biggest challenge is to find the right parties to do business with and I think that could take several different forms as I have mentioned, we talk about healthcare systems, it could also wind up being some of the payors themselves that will look to RadNet to help them with their ambulatory outpatient strategy in terms of planned design, access and moving more and more of the business away from hospice. I think that’s a theme that I can’t over emphasize enough that has now really been embraced by virtually all the healthcare companies, the insurance companies that out there that are more and more perceptive to this kind of planned design and narrowing the networks which in our markets that really just nobody else to talk to about that other than perhaps.
Alan Weber: Okay. Thank you for that answer. And I guess one more question what amount or what percent of the volume you do is actually where patient pay or you receive payment at the time of service?
Mark Stolper: You said for the entire exam Alan or just a portion of the exam.
Alan Weber: You breakdown wherever you think it’s more relevant.
Mark Stolper: Today that the vast majority of our patients pay something either at office visit fee or a copayment related to the fact that they’re not either through the deductibles or their Medicare beneficiary that doesn’t have gap insurance they’re paying a 20% co-pay. So I don’t have the numbers in front of me, but I would say but with three quarters of our patients these days pay something which is substantially different then it was about 10 years ago when they were far fewer co-pays and office visit fees related to these health plans. Which is why we several years ago started focusing on creating processes in control to whereby, we would be able to effectively collect this patient portion or patient responsibility portion at the site level. And so what we did was we created a national payer database that houses all of our contracts and all of the PPT codes related to those contracts and what are allowed amount is under each contract and each procedure code. And then we licensed a system that allows us to hook in electronically in real time to the individual health plan – and both our schedulers at the time of scheduling and at the time of service at the site that’s an office personnel are able to see where the patient is with respect to his or her deductible or copayment and they compare that to be allowed expected allowed amount for the particular procedure that the patient is there for that day and we are able to collect the appropriate amount at the time of service. And also there was a significant cultural change at our sites where our operations team really focused and really trains our front office personnel to collect this amount at the time of service. And there has been a cultural shift within healthcare as it relates to that, I mean it's hard to go to a physician office today without paying something before you leave. So it has been successful project and that's why our bad debt has really remained very constant at about 5.5% of our fee for service revenue and we hope to continue that in the future.
Alan Weber: Does that mean that number should actually decline over time?
Mark Stolper: Well we've kept it stable over the last few years on an apples-to-apples basis and we think we have done a good job just to keep it stable because although I can't prove this, I would summarize that if we hadn’t put these systems in place and today we are collecting about 85% of the patient portion responsibility at disclaimer service, if we hadn’t put these controls in place, I would summarize that our bad debt percentage would have gone up substantially over the last three years.
Alan Weber: Great. I was under the impression that some of this improvement on the billing was kind of totally implemented last year so I feel going forward that percent might actually decline?
Mark Stolper: Well I mean it was flat year-over-year and these improvements were put into place last year, we continue the same procedures and we're hovering, we've been hovering now for over a year at about the 85% mark in terms of patient force and responsibility. So if we can nudge that 85% mark closer to 100%, I think we do have a little bit of an opportunity there.
Alan Weber: Okay, great. Thank you very much.
Operator: Next question comes from Mitra Ramgopal with Sidoti.
Mitra Ramgopal: Yes hi, good morning, just a couple of questions. Again I know it's early regarding potential overhauling of healthcare but I was wondering if you think it could have an impact on your - maybe how much did you benefit on the ACA?
Howard Berger: Well the benefit from ACA at least in its current form as primarily have been for California where - correct if I’m wrong, I think $1.2 million new have entered California exchange or health plan and we've seen a lot of that come through our capitation agreement, as well as some fee per service base. I don’t think in the other market that were in anywhere there as dramatic as it was California so, while I think it's little too early to make any - to draw any conclusions about what changes there might be in the current Affordable Care Act, we have seen benefit primarily in California and I don't see that changing very much future regardless of...
Mark Stolper: Lot of that I mean - its little too hard to tell Mitra because there is various bill sort of and opinion going around with regard to the Republican plan to repeal ObamaCare, there is some I think positive I think for patients, some negative I mean what they're talking about doing as pretty more of the owners, financial owners on the state plans specifically the Medicaid plans and California tends to be a fairly this is an understatement fairly liberal state and so we don't see in California the state taking away benefit or coverage from the 1 million plus folks through joined these either state run or privately run on our exchanges. So, I think no matter what were either we're fine on regardless of what happens to ObamaCare but we're watching it very closely. I mean they're now talking about tax incentives or tax rebate based upon each with respect to healthcare premiums, they are talking about expanding the cap on consumer health savings accounts which obviously would help patients. So there is a lots of discussion out there that seems to be positive for patients, seems to be potentially harmful to patients and I think that it's going to shake out, however it shakes out regardless we are fairly confident and comfortable that imaging will remain a major part of the healthcare delivery system for all the reasons why imaging has been growing over the several decades we are talking about the aging population, the growing population, the technology advances that have driven new applications, and medical indications in imaging where there has been a much greater acceptance from patients and from referring physicians regarding the efficacy of imaging, there is a focus on early detection and diagnostics of disease of preventative medicine, imaging falls squarely in line with where healthcare is going. So I don’t think regardless of what happens with the reform, I think we're going to be in a good situation.
Mitra Ramgopal: Thanks, that was really helpful. And then just quickly regarding the guidance and increase in adjusted EBITDA for fiscal 2017, are you factoring any benefits from the integration efforts and also maybe from the IT or cost savings initiatives or is that more 2018 story?
Mark Stolper: Yes, I mean we started our integration immediately and Diagnostic Imaging Group which we completed in October 1 of 2015 was really where our focus lied. So we've been integrating those operations really for year and half now and I think by the end of the second quarter most of our work in New York should be substantially done. So we might see some benefit in 2017 as it relates to that, IT as well, we've been really involved with a three year process to integrate the eRAD recent tax amongst all of our 305 centers and so that benefit has been - has been ongoing and there might be a little bit of benefit in 2017 versus 2016 but there is not much of that built into our guidance.
Mitra Ramgopal: Okay, thanks again for taking the questions.
Operator: Next question comes from [Keith Wrong] [ph] with CCG Capital.
Unidentified Analyst: Thank you. Mark and Howard thanks again for the time here. Maybe you could speak a little bit about capital allocation and specifically your thoughts about your own stock, as a stockholder it gets frustrating to see RadNet stock trading at a 15% plus free cash flow yield and I just wonder in terms of your equity return on investment, if you think you're seeing better investment elsewhere and really how you view using excess capital or free cash flow to buy back the stock? Thanks.
Howard Berger: I'm speaking as one of the largest shareholder it is frustrating, I think there is lot of noise that always go on in the marketplace whether it's general market conditions or something they should help that we have no control.
Unidentified Analyst: Well Howard if you compare your stock price performance to Alliance's over the last five months there is no comparison right?
Howard Berger: Well, there is no comparison because the majority...
Unidentified Analyst: This time much better.
Howard Berger: Shareholder has offered to buy the rest of the shares at premium they were trading, so I think Alliance which is no longer a comparable in any level given that in the process.
Unidentified Analyst: I'm just saying the multiple that they are being offered is basically the same multiple that you are trading at today? Sorry it's above your multiple today, right?
Howard Berger: Right.
Unidentified Analyst: So you would be able to acquire stock or capital shrink your flow today at a price cheaper than what they are taking at company privately?
Howard Berger: Right. Well we keep all of our options open, our credit facility does above the company to buy back shares have chosen to do that at this point but before this always label and it has that has part of their consideration if we feel that the marketplace that fairly rewarding stock. My goal again is to build company into a major healthcare provider which I believe there we have and whether some of these - hang we talked about our general mark conditions or concerns about new healthcare initiatives or placement in feel of ObamaCare, these are things that we really don’t have control of run. I’m confident that the valued to the shareholders there will be recognized and as long as we continue to perform in a way that the expectations and driving very careful.
Unidentified Analyst: So can you share some of your thinking then, at what pre cash flow yield would you consider buying stock back, what you consider sort of a non brainer for the company to purchase stock.
Howard Berger: I don’t think we gone through that kind of an analysis. There is certainly will be or can be one if we would look at. I think it's also a function of whether it's better to deploy the cash to buy back stock or to continued to invest in poor market and be able to benefit substantially by the arbitrage whatever our trading multiple is which we require. So, there is always that choice - we're in that kind of invaluable position where I believe that even though our multiple is lower than we’d like to see it and has gown for upside growth, we’re able to acquire at half of that with the substantial asset that help deleverage company and improve our performance. So at the end of the day that positions [indiscernible].
Unidentified Analyst: So when you are buying these assets are you able to achieve returns on investment of higher than 15%?
Howard Berger: Yes.
Mark Stolper: By definition Keith as you know, you're buying something at four times EBITDA, you should have a four year payback or a 25% return on your investment and we're able to do that. And while we are able to do that we’re able to deleverage the business in obviously every dollar erratically as of debt paid down is the dollar that there is to the benefit of the equity. So we're striking - we’re trying to strike a balance year of deleveraging, expanding the business, protecting the business from contracting or creating contract in leverage with private payers as we continue to grow the business and creating value along the way. On the board has contemplated share buybacks will continue to contemplate share buyback but it's a balance instead of capital allocation and so an arrow that we have in our quiver.
Unidentified Analyst: Yes, I would encourage you to consider looking at purchasing your own stock as a asset, the benefits that could nudge your ability to buy other thing, Mark, you know the benefits though, I think it's worth deeper discussion at the board level.
Howard Berger: Thank you, Keith. We will definitely take that under consideration. Thank you.
Operator: And ladies and gentlemen with no further questions in queue, I'd like to turn the conference back over to management for closing remarks.
Howard Berger: Thank you, Operator. Again I'd like to take this opportunity to thank all of our shareholders for their continued support and the employees for their dedication and hard work and management will continue its endeavor to be the market leader that provides great services with an appropriate return on investment for all stakeholders. Thank you for your time today and I look forward to our next call.
Operator: Ladies and gentlemen that does conclude today's conference. We thank you for your participation. You may now disconnect.